René C. Goehrum: Hello, and welcome to the BioSyent Inc. Q2 and First Half 2025 Results Presentation. My name is René Goehrum, and I'm the President and CEO of the company. Before I dive into the presentation, I just want to draw your attention to our forward-looking statements disclaimer, and I'm likely to make some during this presentation. So this presentation is being recorded in the second half of August. I wanted to welcome you, if you're a first timer to his presentation. We do this on a quarterly basis, you'll find the link in our press release, if that's not how you got here in the first place. And also, we often put out a commentary if there's a significant event in the company, we also do a similar thing. We typically link it in a press release if it's so is required. If you are a shareholder or a frequent dealer, welcome back. We're recording this presentation, as I said, in the second half of August, so we -- not only have we had a good start to the year, which I'm going to speak about in a couple of moments, but we really are halfway through the third quarter and the business across the board on Canadian Pharma, International Pharma and Legacy business is performing well. So that momentum that we've built up through the first 6 months of the year has carried on, and we see good momentum as we work towards the latter part of the third quarter. So let's dive into revenue for the quarter. On a total company basis, revenue was just over $10 million, representing 14% growth to the year ago. Overall, Canadian Pharma had a record quarter. Our EBITDA was just under $2.8 million, a 35% growth to the year ago. And on a NIAT basis, once again also strong, over $2 million at 28% growth to the year ago. Of note here are the margins that we're earning on EBITDA and NIAT. You'll see 27% EBITDA margin and 20% NIAT margin. On a quarter compares favorably, if you trail back to the 2 previous years, these are actual quarter performance, so about $8 million in Q2 of '23, about $9 million in Q2 of '24, and just over $10 million this year. If we then look at a 6-month basis, you see that growth trend looks even sharper if you tail back the last couple of years. So on a 6-month basis, sales up 27% to the year ago, just over $21 million, and that was driven by growth right across the board from Canadian Pharmaceutical, International Pharma and our Legacy business. You see strong EBITDA performance, up 40% to the year ago, just under $6 million. And our NIAT performance also strong at 30% over the year ago at just over $4.3 million. EBITDA and NIAT margin is strong at 28% and 21%, respectively. And looking back the growth over the last couple of years, you see strong performance, both on revenue and profit. So if we dive into the business units or the brands, you see in the quarter, Canadian Pharma sales at $9.3 million, that was up 9% versus a year ago. And I won't go line by line, you'll see a couple of notable things, strong performance by FeraMAX and Tibella and not such good results with a couple of the other products. Worth just calling out, Combogesic has kind of been lagging our expectations now for some period of time. And Inofolic is an interesting one, and we experienced this with launch products. That product is still kind of considered a launch product in our portfolio. And you see down 9% in the quarter, up 94% on a 6-month basis. So that does happen with launch products where you'll have kind of inventory builds throughout the course of the year and not like to distort our quarter performance. RepaGyn, down 13% in the quarter, but more or less flat for the year, which is below our expectation, but kind of in line. It's not a key promoted product for us. We do put our promotional effort against FeraMAX and Tibella. Gelclair, we have experienced some headwinds on that product, both on a quarter and a YTD basis. We are just launching 4 experienced trials at cancer centers in the B.C., Ontario, Quebec and Nova Scotia. And we're going to springboard off those real-world experience trials to determine what our promotional efforts should be on this product. So we've pulled back somewhat on our promotional effort until those experienced trials have been completed. So you'll see middling performance on the Gelclair product as we go forward through the balance of the year. You see both the International and Legacy business performing well, both on a quarter and YTD 6-month basis. So how does this spend flow through to earnings per share? What you see here is a chart showing trailing-12 months ending June 30. If you go to the far right-hand side, that is the Q2 of 2025. Trailing-12 months earned $0.72 in that period of time, $0.18 in the quarter if you compare that back to the year ago trailing-12 months of $0.60 and then you can go back further to the trailing-12 months ending in 2023. June 30, you see very strong performance on the business, and that is coming from both revenue growth and our share buyback activity. So very active in '23, '24, somewhat active in the beginning of this year, a less active second quarter with NCIB, but that certainly has also contributed to EPS performance. Of note, the second quarter this year represented our 60th consecutive profitable quarter, became profitable for the first time back in Q2 of 2010. A few things I'd like to touch on in terms of highlights on a YTD basis. We announced last September that we had acquired Tibelia Global business, it's a hormone replacement therapy, a product that we also commercialize in Canada. With that, we acquired a number of customers around the world. We started shipping that product in the first quarter, which we've already reported to you. We did restocking and further shipments to both customers that we ship to in the first quarter and additional customers. So year-to- date, we've generated $1.3 million of incremental revenue coming from the Tibelia Global business. You'll now see that featuring essentially on a quarterly basis, there will be some regular cadence to that business. We're also finding FeraMAX International business, greater frequency as well. So we're moving away from having to talk about an auto order pattern and shipping pattern with our International Pharmaceutical business. We announced as well, a dividend to be paid in September of $0.05. This represents an 11% increase over the 2024 dividend payment. So we've now paid dividends in March, June and have announced the September dividend. So overall, 11% up from the 2024 period, and that will continue to be a regular feature of our returning capital to shareholders. We've spoken for some period of time about the strong performance of FeraMAX, in the Canadian market it is trusted by doctors and pharmacists and in fact, by hundreds of thousands of patients, the majority of whom are women, I guess, the women are the main consumers of iron supplements in Canada. So we're the #1 recommended amongst the health care professionals, that brand continues to perform well in the market. I already touched on NCIB activity down somewhat when you compare to previous years. But on a YTD basis, we've bought back 19,500 shares. I want to touch on trade and tariffs. I know that it's a hot topic really on both side of the border, in the United States and in Canada. I do get asked this, from time to time we've been reporting now since the first quarter. In Canada, there still remains a fair degree of uncertainty in terms of how proposed tariffs or what the arrangements will be between Canada and the United States. There is a trade agreement in effect. To date, we have had essentially no impact directly from any tariffs or tariff talk. We do not do much business into the United States. We've got a very small amount of legacy sales into the United States, and our inventory was already positioned. And in fact, we do have a free trade agreement in effect. So we don't expect any impact on our business this year. We're obviously now thinking about 2026, 2027. We also do not know what the outcome will be of discussions and/or negotiations that are occurring between Canada and the U.S. Historically pharmaceutical products have traveled the world, not just between Canada and the United States, but have traveled the world tariff free. There is some discussion, but perhaps not changing. We do not sell pharmaceutical products into the United States. And so I would say any impact on us from tariffs will be counter tariff and that will be self-inflicted by the Canadian government. And we just don't know what that will look like and it will play out over time. The other thing that we keep our eye on is what impact will tariffs and tariff talk have on Canadian consumers and the Canadian economy. And I'm not going to go into a big discussion about performance of the Canadian economy. And what I will say is that we have not seen any impact on our business and our brands in a material way on our business. Negative, positive, It's been kind of business as usual for us, but we do promote premium-priced products and a lot of our business is done [ through ] cash-paying consumers. So that's something we keep our eye on. But as yet, no impact, and we don't expect through the balance of this year. I've already talked about FeraMAX and its strong performance. It's now 10 years in a row, the most recommended amongst pharmacists and physicians, and we are leveraging off of that performance and that trust that we've built in the Canadian market. We've been executing a FeraMAX life cycle strategy now for quite a number of years. We've reformulated the compound. We've reintroduced products with the new compound. We've launched new products, FeraMAX 45 is a new product launched just over 2 years ago, it's still considered a launch product in the Biosign vernacular and has been performing well. It's growing at high double digit versus a year ago, and that certainly contributed both incremental revenues and overall revenue performance for the FeraMAX brand. We are preparing a new FeraMAX product to be introduced into the market in 2026. And that will represent an opportunity for kind of a new use case for oral iron supplementation, and we expect will further augment the sales of FeraMAX in Canada, and in fact, maybe a new use case, adding new consumers into the category overall across Canada. So we have been busy over the last 5 years with innovation, product launches and acquisition, that acquisition being the Tibelia Global hormone replacement therapy product last September. We've already spoken about it contributing now to revenue, both in Q1 and Q2 of this year. So as kind of move off of that innovation and launch activity, what impact has that had on our business. And you can see that made reference to us becoming profitable in 2010. And you can see our portfolio has grown significantly, the products brand tags you see on the left- hand side, above 2010 are the products we had in market in 2010. And on the right-hand side is what's in market today. This chart just shows you ending 2024. We've essentially gone from about $1.5 million in sales to $35 million plus, so a 21x growth in revenue and our net income going up 140x over that period of time. So we're working hard to diversify our portfolio and introducing innovative products into the Canadian market, but keeping an eye on making sure that we're managing a profitable business. So that eye on quality also translates into keeping an eye on return on equity. This charts shows you, in the blue bars, our cash position ending June 30, you can see this year, we're just under $27 million. So in a range, a pretty tight range by design over the last several years. We manage that in a combination with NCIB activity, buying back shares at our dividends. In the trailing-12 months ending June 30 of 25, our cash from operations was $12 million. Of that, we've bought back $4 million worth of shares in those 12 months ending June 30, and We've returned $2.2 million in the form of dividends to shareholders. So net-net, that works out to a 23% return on equity. So strong performance, focused on quality and working hard to grow the business and grow our diversity of our portfolio. Brings me to some comments about what our intentions are with respect to our strong balance sheet, I do get asked that question from time to time. And the easy answer is the first dollar that we're generating goes to revenue growth. So as we continue to invest in revenue growth and diversifying our portfolio. I think we've demonstrated that now over a number of years that we continue to grow the top line, deliver bottom line results and diversify our portfolio. We are a capital-light cash-generating business. And even with 7 new product launches in the last 5 years and the acquisition of Tibelia Global, we are in a strong position with respect to our balance sheet. So we've bought back almost $23 million worth of shares starting in the fourth quarter of 2018, a total of 3.1 million shares repurchased. And we initiated a dividend program in the fourth quarter of 2022 and returned $6.2 million to shareholders over that period of time. So we're now creeping up on $29 million returned to shareholders, but with a strong business, with a growing top line, growing bottom line and an eye on continuing to move forward with new products and new innovations in the marketplace. I'd like to kind of work towards wrapping up the presentation today with a look at our -- essentially our cap table. The reason I land on this, if you're new to the story, we have discontinued or paused use of share options as equity, a form of equity compensation in our business. We did that about 5.5 years ago, I think the last option issued was in March of 2020, and we've replaced that with our restricted share unit program where we issue restricted share units, and then we go into the open market using our strong balance sheet, we buy shares and hold those shares in trust. So you'll see here RSU shares held in trust just over 214,000 shares and RSU outstanding at just under 210,000. So those 2 match up fairly tightly, and that's how we kind of maintain a tight cap table without being dilutive, and some people call that shareholder friendly, I call it just good common sense management. And we are shareholders, directors and management of BioSyent are significant shareholders of the company. And so we're really focused on running a strong, profitable, growing business and delivering value on a per share basis over time. Thank you for your continued interest and support and look forward to reporting a balance of 2025 to you as the year progresses. Thank you.